Operator: Ladies and gentlemen, thank you for standing by. I am Geli, your Chorus Call operator. Welcome, and thank you for joining the OPAP S.A. conference call and live webcast question-and-answer session to discuss the fourth quarter 2025 financial results. At this time, I would like to turn the conference over to Mr. Jan Karas, Chairman and CEO of OPAP S.A. Mr. Karas, you may now proceed.
Jan Karas: Thank you, Geli Good evening or good morning to everyone. We are glad to welcome you here and present to you our solid set of full year 2025 financial results. Hope you have enjoyed the presentation distributed earlier today, and we would be glad to answer any questions related to our financial performance. We are pleased with our 4.9% GGR growth for the year, in line with our provided outlook and remain optimistic that Greek operations will continue to be a strong asset of the combined Allwyn and provide significant contribution to its future success. Let's proceed directly to the Q&A together to make the discussion more engaging. Geli, over to you.
Operator: The first question is from the line of Kourtesis, Iakovos with Piraeus Securities.
Iakovos Kourtesis: A number of questions from my side. First question has to -- we're glad to see that Hellenic Lotteries license was secured. I was wondering if there is an update for the big license that expires in 2030, if you have something to comment on this. Second thing from my side is about the expected acquisition of Novibet. As far as I remember, the whole process goes on the Competition Committee. If you have any update on this front? And maybe I have another follow-up. Can you comment on this, please?
Jan Karas: Apologies, what was the third point?
Iakovos Kourtesis: The third question?
Jan Karas: After Novibet, the third point?
Iakovos Kourtesis: Yes. The third point is about -- recently, we have a new draft bill on illegal betting. Obviously, this should move on the positive side for you. If you have any comments for the new draft bill on illegal betting and how it affects -- you expect to positively affect your business?
Jan Karas: Clear, thank you very much. Thank you for all the questions. Apologies, we had some technical issue here. We couldn't hear you properly on the last part, but all questions are clear. So let me take them one by one. Point #1, about the licenses, thank you for your kind words, just for the sake of full transparency. We have been recently informed that the Court of Auditors greenlighted the signing of the concession agreement for Hellenic Lotteries. And as such, we expect that soon we will be called to sign the agreement. After that, the agreement must be ratified by the parliament and the relevant law will be issued in the government gazette. That is just a point where the full process will be completed. At this moment, given these developments, we don't expect any delays, and we expect that we will start from the beginning of May, operating with the new concession, the new 12-year concession. So that's just on the clarity on the Hellenic Lotteries. When it comes to the legacy games, as we have stated before, many times, we are certainly interested to extend our exclusive games rights beyond 2030, for sure. At this moment, we don't have any update on this front. But again, you will be the first one to know once there will be any progress here. When it comes to Novibet and the HCC, this is something for our Allwyn colleagues to comment on our side. We don't have any comments and updates on the developments there. For the illegal betting on the other side, this is something very much relevant to us, and we obviously have welcomed the new legislation when it comes to illegal gaming. This is in many elements of what is being proposed is meeting the demands or suggestions we have been stating with our ongoing conversations with the authorities. Our interest is obviously aligned with the state -- with the Greek state here. We want to protect our players. We want to make sure that Greek state doesn't lose taxes in favor of illegals. So we are absolutely looking forward to explore the new opportunities to fight illegals that this new bill should bring. As for the expected impact, it's a bit, obviously, too early to judge. The final law should be voted in the coming months, hopefully soon. So then we will see the full definition of it. And very importantly, we will be with the authorities cooperating to the maximum to explore the benefits of the new legislation and translate it into actions in the real world leading into minimization of the illegal betting in Greece. So as stated by the government also on our side, we certainly expect a significant impact of this law on our business for the coming year, and in our case, positive impact in the coming years.
Iakovos Kourtesis: Okay. Since this is the last time I suppose that you report results as OPAP, as a sole entity. I would like to thank you for your collaboration and give my congrats to the IR team. They've been extremely helpful all these years, and I'm so glad that they will continue this collaboration with us. Thank you very much.
Jan Karas: Thank you for your kind words. We will come to that at the end of our call, but it's very much appreciated that you feel this way. And yes, don't worry, we will not disappear. We will stay in touch for sure.
Operator: The next question is from the line of Draziotis, Stamatios with Eurobank Equities.
Stamatios Draziotis: Can I -- well, just a couple actually. Can I start with Q4? If you could comment on 2 items, please. Firstly, the increase in expenses, I know you said there were some one-off elements, but just wondering to what extent we should expect this to continue in FY '25? And also the decline in online, you obviously said that this is mainly attributed to the customer-friendly results in sports betting. If you could maybe isolate the effect of the latter. And secondly, on '26 I think you mentioned that you expect this to be a year of great success in your remarks. I'm just wondering what this means exactly in terms of revenue and profitability for the Greek and Cypriot business.
Pavel Mucha: Okay. Thank you. Good afternoon from me. Yes, the increase in expenses in Q4 is largely related to the digital agenda, both in retail and in online, where we are strengthening the team. So that's why the payroll expenses are coming higher. Also on the marketing side, both in terms of CRM, communication and sponsoring assets. And last but not least, on the technology front, again, digitalization, both in retail and ongoing improvement of customer propositions in online. Really, these 3 categories are related -- are driving the increase in costs. Obviously, you asked what to expect going forward. It's not that the OpEx would be increasing at this pace every quarter going forward. But we've reached a certain level by now. And this was all cautiously managed. It wasn't something out of control or out of a blue. That's why we also guided that when we provided the guidance for '25 that we will be heading towards mid-30s towards the 35% levels. And if you exclude the one-off expenses, indeed, the margin for the whole year came to 34.7%. So not only we delivered the outlook on the GGR, but also on the expenses. Now on the second, maybe.
Jan Karas: For the outlook?
Pavel Mucha: For the online. No, for the online and customer-friendly results.
Jan Karas: Yes. Well, we don't have a -- you were asking for the specific impact of the results versus anything else. I think it's important to say that while we don't exactly have this split, and it would be a bit difficult to calculate anyway. What is important is that we see now in Q1, the business back on track. So the underlying solid performance of the sports betting continues. So we really have seen the Q4 as a disturbance that doesn't have any continuous trend for Q1. If I may also on your -- this is -- a small bridge towards your question about 2026 expectations. We are not officially providing any outlook for the Greek operations for obvious reason. Allwyn has already provided some initial guidance and more details will certainly be announced during the upcoming Full Year '25 Allwyn International Analyst Conference Call. Yet what we expect for the Greek operation is 2026 to be another year of great success entering the new year of the company with really good prospects. So we are quite confident of not only continuation but further strengthening of what we do here.
Stamatios Draziotis: Okay. That's great. And thank you for the open dialogue over the years. And as you move into the next phase with Allwyn, we look forward to seeing the same transparency, hopefully, that has underpinned the OPAP's equity story to date. So thank you.
Jan Karas: As in any other area, we -- our ambition is to be same and better. So hopefully, we will meet and exceed your expectations going forward on this front as well. Thank you for your trust.
Operator: The next question comes from the line of Pointon, Russell with Edison Group.
Russell Pointon: A couple of questions, if that's okay. First of all, just to come back on this digital investment in Q4. Does this -- with more investments in digital staff, does this mean that you're looking for a greater rate of innovation in the digital activities in the coming year or so? And the second question is just a minor question really in terms of the retail lottery business. I think the revenue went backwards a little bit in Q4. I was just wondering if there was anything in particular that affected the retail lottery business?
Jan Karas: Thank you. So when it comes to digital investments, it is indeed a big topic for us. The whole 2030 strategy that we have recently introduced to our employees and partners, and we will be sharing with the investment community shortly is all around digital-first customer experiences. So the next day that we are looking at is certainly focused on attracting new generation players and that's not only in online, but also in retail. So while evolution and exploring the prospects of the online world continues to be very high on our priority list. The second close is now upgrade of the retail experiences with the implementation of a completely new digital layer. So if you want moving from paper cash agent into a fully autonomous digital gameplay in our retail stores where especially the new generation players will be able to benefit from digital interactions that are personalized where their interaction is rewarded and appreciated. And generally, the gameplay is of a new generation -- of a kind. Here, probably one picture better than thousand words. So we will be bringing you more information on that front shortly. So what is the necessary driving vehicle of that is the technological evolution that powers all these customer experiences from implementation of fiber connectivity in our stores all the way through to development of the apps estate, so that we will be merging all the different apps we have today into one digital ecosystem with one app that comes first and makes the interaction for customers way much more simple. One customer account, one app, one wallet, many new things coming that should simplify gamers or customers' life when it comes to gaming and as always, improve the entertainment factor as well as the rewards; and very importantly, the simplicity of gameplay. So it is really much more than for -- compared to the past where we have done some digital upgrades in the stores like bringing the SSBTs. This time, we are really taking it to the next level, and we see it more as a historical milestone of a step change from the traditional analog world towards a completely digital world of the future. Hope that helps. Pavel, on the second comment, if you may?
Pavel Mucha: Yes. On retail lottery, look, we were really pleased with the performance of the lotteries in retail in Q4. It was very solid performance, not only on jackpot games, but also on KINO. If your question implied that it was a bit -- not so strong performance. So I just remind the tough comparisons with Q4 2024, where we entered the year in January with building up record jackpot in JOKER. And that those jackpots were already building during December. So it's more the comps with the 2024 very good performance, which may imply that the year-on-year growth in Q4 in retail lottery was not so significant.
Russell Pointon: That's great. And let me reiterate the thanks to the team.
Operator: The next question is from the line of Nekrasov, Maksim with Citi.
Maksim Nekrasov: I have a few questions. The first is a continuation on the online sports betting right, and it looks like it has been declining for a few quarters in a row. But I just wanted to ask if you can provide any color on the competitive dynamic and on your market share dynamic in particularly in the sports betting online? And also, if you can remind us about the status of the prediction market platforms in Greece and whether you have seen some impact from those platforms? And finally, since we're rebranding, it would be interesting to hear what's the initial customer feedback? Is there something that surprised you? And if there is any color on the -- if the traffic has changed to some extent to the rebranded stores versus nonrebranded? So yes, any color on that would be appreciated. Thank you.
Jan Karas: Well, when it comes to the big picture of the of the sports betting and iCasino market share, while we may be facing some headwinds here and there, we generally see us being on a very right track to protect our market shares and continue performing strongly. The recent rebranding of not only Allwyn, but also Stickiman (sic) [ STOIXIMAN ] is something that should further help in remaining and not only remaining relevancy to the younger audiences, but even further strengthening it. The new generation players are of our utmost importance. So we really remain confident in maintaining and further improving -- aiming for further improvement of our leadership in this market. Second question was on the prediction markets, we don't see any impact here. Obviously, with the acquisition of PrizePicks, this is a gaming vertical that is of our utmost interest, and we will be exploring the opportunities in this area. But at this moment, this is not something that we see as a gaming vertical significantly influencing sports betting in the Greek market. And the third question was on? Rebranding. First impressions of the rebranding are very positive. I think we have done a good job in 2025, preparing the Greek market for the rebranding with all the communication and campaign of OPAP being part of Allwyn. And as such, now the transition starting January 19, where we have changed the consumer-facing brand from OPAP to Allwyn has been really smooth. Overall, there is a positive reception from both customers as well as our agents and rest assured that our retail partners are always a very good thermometer of making the right customer moves. So we are very confident that we are on a good track. To let some numbers speak, currently, we are around 50% of awareness of the society about the Allwyn brand, and that's something that we will continue to build. So this exercise is far from over. The whole year 2026 is about building the brand awareness and building the attributes of the brand like the trust, like giving back to society, like winability to assure that our customers believe not only they haven't lost something, but that they have stepped into the new era that is better than before. And that is our ultimate commercial goal for this year. And so far, it's going well on this front. Thank you for your question.
Maksim Nekrasov: Understood. And good luck in the new chapter of the company, and thank you for all the years of -- all the presentations and special thanks to the Investor Relations team, Nikos and John. It's really helpful and a very transparent reporting. So we hope that we will continue going forward. Thank you so much.
Jan Karas: Thank you so much for your kind words. Much appreciated.
Operator: The next question is from the line of Zouzoulas, Constantinos with Axia Ventures.
Constantinos Zouzoulas: Two questions from my side. Some more color on the good performance of the VLTs, especially I'm referring to the increased visits per year. What can you tell us about this? And my other question has to do with Hellenic Lotteries. Now with the new -- you're going to be operating the new concession, do you have any plans for -- to refurbish the other games of this vertical?
Jan Karas: On the second -- I will ask you for some clarification on the second question. But let's start with the.
Constantinos Zouzoulas: We're talking about the scratch. Yes, we're talking about the scratch and the lottery tickets. The performance has not been that great during the past few years. Are there any plans to do something on this front?
Jan Karas: Yes, yes. Sorry, I got confused when you said the other products. I was not sure I understand. So you are interested in what we will do with the Hellenic Lotteries portfolio, right?
Constantinos Zouzoulas: Correct. Correct, correct.
Jan Karas: And I will comment on that. Okay. Great. Thank you. So the first question?
Pavel Mucha: VLT's performance.
Jan Karas: VLT's performance. We are very happy for the performance we observed this year. And we are very clear as to where it is coming from because this is a return on investment into upgrading the customer experiences in our Play stores and in our -- with the new terminology Allwyn stores. We have -- as we have presented in our presentation, we have upgraded now a very significant part of the estate with much better customer experiences when it comes to game play. At the same time, we have invested a lot of efforts into the loyalty schemes that are appreciating and rewarding for the customers for being with us and for their activity with us. And last but not least, we are doing a lot of promotion events in the stores themselves so that we improve the entertainment element of the experience. And we don't stop here because going forward, our main focus is actually in significant upgrades of the venues where, believe it or not -- but the ones we have now, we have built some of them also already 10 years ago. So we are proceeding with a significant refresh of the stores, and we will be refreshing not only the color schemes, but very importantly, the look and feel. So the stores from the outside will be much more open, much more transparent, much more visible, much more inviting for the customers walking down the street, and we will be moving from the current, in most cases, white non-see-through facets and shop windows into something that allows you to see what is inside and that something is happening inside and will be bringing you in. Alongside of the technology upgrades like big digital screens, et cetera, that should help us in this important gaming vertical where we are not allowed to communicate too much and the shop windows communication plays an important role to bring people in the store. This should have further positive impact on the overall performance, especially when it comes to visitation and number of visits per customer per month. So overall, good momentum that we expect to not only continue but further strengthen. On the second question of Hellenic Lotteries, that is super exciting because as we say, everything bad is good for something. So obviously, the Hellenic Lotteries change of the license has a lot of administrative technical implications that do imply a certain degree of disruption of the business, and we are doing everything we can to minimize this impact on the customer experiences in our stores. It also brings a lot of benefits and one of them is that we will be, as of May 1, able to launch a completely new portfolio of scratch products. And we will be doing so certain -- building on some of the successful ones that we will keep, bringing some new ones that will be new in the market and overall strengthening the families, the 3 big families in scratch. So a refresh of the portfolio and complete refresh of the design of the whole portfolio. Zooming out from a customer perspective, the whole new license environment should bring new refreshed product portfolio, new gaming experiences because we are changing also the -- some of the games that we provide under scratch. And we are also looking at upgrading and refreshing the more traditional products like Laiko or Ethniko or the special editions of Laiko that you will see and our customers will benefit from during the year 2026. So hopefully, that covered your question. Thank you very much.
Constantinos Zouzoulas: Thank you. Also from my side, thank you for the communication all these years and looking forward to continue the cooperation with you, Nikos and John. Thank you.
Jan Karas: Thank you so much. Thank you very much.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Karas for any closing comments. Thank you.
Jan Karas: Thank you so much. Thank you, Geli. Thank you, everyone. Thank you for many of your kind words already expressed during the Q&A. And obviously, also from my side before we conclude today's call; not only on my side, on behalf of Pavel Mucha, myself, Nikos, John, the whole IR team and everybody who is supporting us on this journey. I would like to share some closing reflections on what I think is truly a historic milestone for our organization. We are -- very excited to embark on this new era that is ahead of us. And as we move towards the final stages of our business combination with Allwyn, I want to reaffirm our unwavering commitment to the investment community, to all of you here with us today as well as to those who could not be with us today that you have supported us and supported OPAP throughout this journey. And on behalf of both Pavel and myself, I want to express our deepest gratitude to our shareholders themselves and to our analyst community. Your support and collaboration over these years have been certainly the key of our success. Together, we have achieved financial robustness, created significant value, allowing us to enter this next chapter based on really solid foundations. For so many years also, the Investor Relations team in Athens has been the heartbeat of our communication, their expertise and deep-rooted relationships have been vital to OPAP's success and to the trust we share with you. As the cornerstone of our strategy remains transparency and accessibility, values that are at the very core of Allwyn as well, I'm really pleased to confirm to all of you that our IR team in Athens, led by Nikos Polymenakos, will continue to provide the high-quality support you have come to expect. And as such, while we are expanding our horizons, your points of contact in Greece remain unchanged. To better serve our new global footprint, our Athens-based colleagues will be fully integrated into a larger unified IR team working in daily collaboration with our partners in the London office. And this collaborative structure hopefully ensures that whether your inquiries are local or international, you will still benefit from a broader pool of expertise and global coverage. Finally, we are proud that the combined entity will retain its listing on the Athens Stock Exchange, soon Euronext Athens, remaining a central pillar of the Greek capital market. We look forward to this next chapter together as a leading listed lottery and global gaming operator. Thank you so much for your partnership, your trust and for being an integral part of this remarkable journey. We look forward to speaking with you again soon from this new global platform that I'm sure will be as exciting interactions and connections as until now, as we have stated before. Ladies and gentlemen, thank you very much. Dear colleagues, thank you very much. Last but not least, dear Geli, thank you so much for all the years of your fantastic support. Thank you all, and we will stay in touch. Have a nice rest of the day. Goodbye.